Operator: Good day, everyone, and welcome to the Amdocs Fourth Quarter 2012 Earnings Release Conference Call. Today's call is being recorded and webcast. At this time, I'd like to turn the call over to Elizabeth Grausam, Vice President of Investor Relations for Amdocs. Please go ahead.
Elizabeth Grausam: Thank you. Before we begin, I'd like to point out that during this call, we will discuss certain financial information that is not prepared in accordance with GAAP. The Company's management uses this financial information in its internal analysis in order to exclude the effect of acquisitions and other significant items that may have a disproportionate effect in a particular period. Accordingly, management believes that isolating impacts of such events enables management and investors to consistently analyze the critical components in results of operations of the Company's business and to have a meaningful comparison to prior periods. For more information regarding our use of non-GAAP financial measures, including reconciliations of these measures, we refer you to today's earnings release, which will also be furnished to the SEC on a Form 6-K. Also, this call includes information that constitutes forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although, we believe the expectations reflected in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that our expectations will be obtained or that any deviations will not be material. Such statements involve risks and uncertainties that may cause future results to differ from those anticipated. These risks include, but are not limited to, the effects of general economic conditions and such other risks as discussed in our earnings release today and at greater length in the company's filings with the Securities and Exchange Commission, including in our Annual Report on Form 20-F for the fiscal year ended September 30, 2011, filed on December 8, 2011 and our Form 6-K furnished for the first quarter of fiscal 2012 on February 14, 2012 for the second quarter of fiscal 2012 on May 15, 2012 and for the third quarter fiscal 2012 filed on August 16. Amdocs may elect to update these forward-looking statements some point in the future however, the Company specifically disclaims any obligation to do so. Participating on the call today are Eli Gelman, President and Chief Executive Officer of Amdocs Management Ltd; and Tamar Rapaport Dagim, Chief Financial Officer. Following our prepared comments, we will open the call to Q&A.
Eli Gelman: Thank you, Liz and good afternoon to everyone joining us on the call today. I will keep my summary comments on fiscal 2012 relatively short today as our fourth quarter results were consistent with our expectations. Overall, we believe fiscal year 2012 was a successful year for Amdocs, especially in establishing and extending key strategic relationship with the world's most influential communication operators and through a series of wins of important transformational deals around the globe. Additionally, we made good progress strengthening the operations of the company. With CES, Customer Experience System, version 8.1, we delivered one of most successful product releases in recent history, while we also improved the quality and efficiency of our delivery and managed services of our organization throughout the year. As a result, we believe, we delivered an attractive total return to our shareholders, through the multiple levers our business model and market position provides, that includes strong sales execution ongoing operation environment improvements and the benefits of our share repurchase program. With the combination of these three factors, we generated 16% diluted non-GAAP EPS growth in fiscal 2012. Furthermore to enhance total return as we move forward. We made the first payment under our quarterly cash dividend program in the first quarter of fiscal 2013. Turning attention now to our outlook, I would like to spend some more time focusing on the global trends we observe in fiscal years 2012 and how we expect those trends to translate into fiscal year 2013. First, the emerging markets remained strong for Amdocs throughout fiscal year 2012 with record 37% year-over-over revenue growth. We expect to continue to believe in double digits revenue growth from our emerging market regions in fiscal year 2013. Operators in this parts of the world are just beginning their IT and network modernization journeys, over the past several years and Amdocs has established itself, as a key participant in this transformation array. We believe our strategy to plant our flag on the controlling [hands] in the emerging markets has been highly successful to date. We are now operating across the emerging markets with leading carriers in countries such as Argentina, Brazil, Chile, and Columbia, India, Indonesia, Malaysia, Mexico, Philippines, and Russia. In Europe, Amdocs performed very well in fiscal 2012 against tough macroeconomic dynamics, delivering 10% year-over-year revenue growth. We feel good about the status of our relationship with major operators across Europe. Moreover, we believe that our competitive position in European market has been improved over the past years. Difficult macroeconomic conditions however continued to weigh on the region. So we enter fiscal year 2013 expecting the budget will continue to be tightly managed as operators spend prudently. As such, while we expect the region to expand in fiscal year 2013 it will likely be at a more moderate rate than we achieved in fiscal year 2012. In North America, we returned to sequential growth in the fourth quarter after a more challenged start in fiscal year 2012. Importantly, and as we anticipated our business with AT&T is stabilizing and even showing some signs of improvement. In fiscal year 2013, uncertainty is still lingering in the North American market, which is driving an outlook of cautious optimism on our part. Let me explain why? Over the past several quarters we have been commenting that the wireless industry in North America has been somewhat stagnated in the wake of the AT&T, T-Mobile, merger break up. In the past quarter, we began to see some glimmers of hope that strategic activity may pick up in the fiscal year 2013 with the proposed merger of T-Mobile and MetroPCS as well as the SoftBank's investment in Sprint. Business combination such as these often present significant long-term opportunity for Amdocs, giving our track record of consolidating systems on behalf of our customers especially in North America. On the other hand short-term, this activity can increase uncertainty for our business as customer focus on merger related activity. Our outlook for fiscal year 2013, reflects our current view on the client activity. We acknowledge however that priorities can change in pending merger scenarios. Importantly today, we announced the expansion of and extension of our managed services activity with Sprint. The new agreement extends our relationship with Sprint through 2021, adding seven years to the existing arrangement. In addition, we would also be providing services to Sprint, Virgin Mobile, [prepaid rent]. We believe this renewal represents a win-win for Amdocs and Sprint and is a great example of the way we like to do business with our long-term customers. We were able to accomplish similar outcomes with other long-term customers during fiscal year 2012 notably Comcast and DirectTV, underscoring the value we bring to our customers for consistent innovation, ongoing support and Managed Services operations. The deal with Sprint also highlights the rising importance of the prepaid segment for North America and wireless operators. We saw good activity across this space in the fourth quarter of fiscal 2012, as many operators in North America are expanding the boundaries of the service offering to delivering compelling values to their subscribers. Many prepaid offerings now have similar service attributes and even smartphone options to what used to be offered only to traditional postpaid customers. This increases the complexity of the IT environment required to support such services. Importantly, this fits squarely with Amdocs' strength in providing real-time converged charging and policy control, integrated as part of our full CES platform. We also wanted to call attention to the strong validation provided by both AT&T and Verizon in the past few weeks on the benefits of the improved data monetization. Both operators conveyed early benefits from the shared family data plan on their quarterly conference calls and we expect that this trend will continue. As operators began to experiment with new and more diverse service offerings, we believe we are entering a multiyear period of increased focus on data monetization. More importantly, we strongly believe that we have the most advanced solution and vision to enable this trend. To summarize, we believe our execution and competitive position remained very strong. In Q4 and early fiscal 2013, we continue to sign highly strategic and long-term deals that will serve the Company well in to the future. The Company also retains significant capacity to drive strategic growth for M&A in fiscal 2013, which is not factored into our outlook - the outlook we have provided. We believe that our free cash flow productivity and strong balance sheet allow us the ability to execute attractive deals while simultaneously returning cash to shareholders. We will of course adjust the relative level of capital allocation based on the merits of our own M&A pipeline, but we certainly enter the year with the intention of execution on ongoing share repurchases, our dividend program and strategic acquisitions. Most importantly, we remain committed to delivering attractive total return to our shareholders. As such, we expect to deliver diluted non-GAAP EPS growth in excess of our forecasted revenue growth, supported by stable margin outlook and ongoing execution of our share repurchases plus our dividend. With that I will turn the call over to Tamar.
Tamar Rapaport-Dagim: Thank you, Eli. Fourth quarter revenue of $822 million was within our guidance range of $815 million to $835 million, with foreign currency fluctuations negatively impacting revenue by approximately $1 million relative to the third fiscal quarter of 2012. Our fourth fiscal quarter non-GAAP operating margin was 16.6% flat from Q3 and within our expected range of 16% to 17%. Below the operating line, net interest and other income was roughly zero in Q4. For forward-looking purposes we continue to expect that net interest and other expense maybe negative in the range of a few million dollars quarterly primarily due to foreign currency fluctuations. Non-GAAP EPS was $0.70 in Q4 compared to our guidance range of $0.66 to $0.72. Our non-GAAP tax rate of 15.4% in Q4 was modestly higher than our expected range of 13% to 15%, but our tax rate of 13.4% for the full fiscal year was within our expectations and towards the lower end. Free cash flow was $109 million in Q4. This was comprised of cash flow from operations of approximately $152 million less $43 million in net capital expenditures and other. CapEx in Q4 was higher than our average in recent quarters due to deal related expenditures to fund growth activity particularly in Asia. Overall, DSO of 76 days were flat with the prior quarter, but remains above our normal range primarily related to transformation programs in the emerging markets. Our total deferred revenue both short and long-term was down $36 million sequentially while total unbilled receivables were down $3 million as compared to third quarter of 2012. Our net cash balance at the end of the fourth quarter was approximately $980 million. We drew down roughly $200 million on our credit facility in Q4 for short-term funding purposes and the balance has since been repaid. Our 12-month backlog, which includes anticipated revenue related to contracts, estimated revenue for managed services contracts, letters of intent, maintenance and estimated ongoing support activities was $2.79 billion at the end of the fourth quarter up $30 million sequentially and up 4.5% year-over-year. During the fourth quarter, we purchased $106 million of our ordinary shares pursuant to our authorized share buyback program. As of September 30, we had $203 million of remaining repurchase authority under our $1 billion authorization, which extends through February 2013. In addition, our Board has authorized an additional $500 million repurchase plan to be executed at the Company’s discretion going forward. That additional authority does not have a stated exploration. Moving to our outlook, we expect revenue to be within a range of $810 million to $840 million for the first fiscal quarter of 2013. This range includes minimum anticipated sequential impact from foreign currency fluctuations as compared to Q4. For our full fiscal year we expect total revenue growth for the year to be in the range of roughly 2% to 5% on a constant currency and reported basis. While Eli captured the main trends driving our outlook for our core communications business, I will mention that we expect revenue from our DirectTV business in fiscal 2013 to be down in the double-digit range as conditions in the print directory industry remain challenged. We expect this could place about a 1% drag on the total company results based on our current expectations. Additionally, we have to consider that macroeconomic and industry specific conditions introduce some certainties into our fiscal 2013 revenue outlook. We believe our fiscal 2013 guidance reflect the most realistic set of scenario based on what we know today. However, as we show in fiscal 2012 we can not capture all outcomes particularly when M&A execution amongst our customers is at play. We anticipate our non-GAAP operating margin in Q1 and for the full 2013 fiscal year to be within a range of 16% to 17% and roughly inline with our profitability level in fiscal 2012. We anticipate that our non-GAAP tax rate will be in the range of 13% to 15% for both the quarter and the year ahead. We expect Q1 non-GAAP EPS to be in a range of $0.68 to $0.74. Incorporated into this view is an expected average diluted share count of roughly 164 million shares in Q1, and the likelihood of a negative impact from foreign exchange fluctuations in net interest and other expense. We have excluded the impact of incremental future share buyback activity on the quarter ahead guidance as the level of activity in any specific quarter will depend on market conditions. For the full-year we expect 5% to 8% non-GAAP EPS growth. In this outlook we have captured the benefits of our expected share repurchase activity over the course of the year. We plan to fully execute the remaining $203 million under our prior 1 billion repurchase authorization by the planned expiration at the end of February 2013. Following that we will begin executing against the framework we communicated two quarters ago when we initiated our new quarterly cash dividend program. Under this framework we expect to allocate roughly half of our free cash flow generated towards growth investments including M&A and return the other half to shareholders through a combination of our dividend program and repurchase activity. Our earning growth outlook, contemplates our revenue guidance, a stable margin within the 16% to 17% range and execution of buyback activity within the rough boundaries of this framework. The total return we deliver to shareholders will be enhanced beyond the earnings growth outlook by our dividend program which is currently yielding just over 1.5%. With that, we can turn it back to the operator to begin our question-and-answer session.
Operator: Thank you. (Operator Instructions.) We'll take our first question from Shaul Eyal from Oppenheimer.
Shaul Eyal: Thank you, operator, and good afternoon Tamar, Eli and Liz. Two quick questions on [mind] and still congrats on the quarter and obviously the Sprint expansion. Just want to make sure that that [I'm] pushing, basically suggesting that all the big contracts that have been renewed for the next couple of years. So with AT&T basically until 2017 and today with Sprint and if I'm not mistaken I think DirecTV also [spent] until 2017 and Bell Canada as well until 2017, any big contracts that should get renewed ahead of that?
Tamar Rapaport-Dagim: There is nothing big on the horizon, but as you have seen in the past sometimes we choose to discuss expansion and extension in conjunction in order to actually create a situation where we are helping the customer going to new activities, new business lines in which we have not been in the past and actually bundle that with an expansion discussion. So sometimes it's a proactive opportunity to do so, but formally if you are asking me today if there's anything or anything we see on the horizon that is material the answer is, no.
Shaul Eyal: Got it and with respect and back to the Sprint contract, can you discuss by any chance the scope of it or as you got negotiated any mega ASP pressures, anything out of the norm that you had seen so far, with such big expansions?
Eli Gelman: Well so - I think the reason why we are part of this contract and why we call it a win-win is because we get out of this contract a nearly annual that was the direction that we decided to take not to wait to the last movement. As part of it we renewed on the regular activity we have in Sprint including in all releases of according to their mid-term business needs including transaction processing of their business and few additional new business that we didn't have before. We mentioned one specific one with the Sprint prepaid under the Virgin Mobile brand, but there are several others. So the end result is that we commit to high level of service grade, very high KPIs, we commit to the prices that we'll get and they commit to the relationship and to the additional scope that we have. This is a very good indication of the way we want to do business and with the three contracts of the large scale renewal in the last two or three quarters, we feel fairly comfortable that the value that we bring really represent the essence as of this relationship rather than to be price war or price pressure again that's basically what we have seen with Sprint.
Shaul Eyal: Got it. Thank you for that and just a final one, if I may, Tamar. I think the revolver that you mentioned, drawing I think, what is it about $200 million. Does that have anything to do with this big expansion that view you announced today at least portion of it?
Tamar Rapaport-Dagim: No, just the cash efficiency, we repaid it few weeks later there is nothing to do with the-
Shaul Eyal: Got it. Okay, fair enough. Thank you very much. Good quarter.
Eli Gelman: Thank you, Shaul. Thank you.
Operator: Our next question comes from Ashwin Shirvaikar with Citi.
Ashwin Shirvaikar: Hi, congratulations from me as well for a good solid year just completed.
Eli Gelman: Thank you.
Ashwin Shirvaikar: My first question actually is, you have had pretty good bookings these last few quarters, I wanted to see if you can give us a sort of status update on the ramp of signed deals particularly internationally are you facing any new challenges. What are you seeing that might cause you to modify your solutions? How are these ramps going?
Eli Gelman: Well Ashwin, first of all in any given quarter it's really hard to derive a conclusion on trends, but if you ask me in general we have seen in past quarters not only specifically on quarter four and because it's a very technical thing whether you'd find something the week before, the week after and we put a lot of entities exactly on the timing, but you know to give an answer on the trend we have seen business all around the world in past quarters, both sides of the emerging markets the Southeast Asia, as well as Latin America, Central Latin America. The good thing that we have seen recently is some waking up of the North American market and that's why we mentioned a sequential growth after quite some time, that we saw almost stagnation in North America. Whether it will be prepaid on our contract or whether it will be something else that's an encouraging sign that the carriers in North America are not giving up. But all together I cannot tell you that there is a trend of an issue. We stay very cautious about the future because of general macroeconomic especially in Europe and other places and the telecom market at large, because we're all sure that the challenges that these carriers have both in North America and Europe and in the emerging markets actually. But as a trend we cannot identify any significant trend in the last few quarters.
Ashwin Shirvaikar: Okay, fair enough. [As you are up] on Sprint as well, just a clarification. Overall do you expect this to be a larger relationship in dollar terms in 2013 than it was in 2012 and as you look at the SoftBank investment and where they might want to take the company? Can you comment on what incremental investments that might take from the Amdocs side and does the new relationship that you have signed and extended and compressed those back with that potential growth in the relationship?
Tamar Rapaport-Dagim: Actually in general we are not guiding to a specific account, but to address your concern there, you shouldn't expect any cliff coming. We would obviously say that if that was the case we have very healthy relationship with Sprint. The volume of activity continues to be healthy. I don't feel there is any material movement that we should discuss here in general and the SoftBank relationship is yet to be seen and…
Eli Gelman: I can tell you one thing, we don't have relationship today with SoftBank. We believe that our proven track record including the extension and expansion of the contract with Sprint would be something that SoftBank will look into it and I think that anyone that will look into it will be highly positively impressed. So we hope that we can translate it into business in the future with this [nuke area], but we don't put anything in our guidance right now it's not in our [necessarily] in our pipeline, but we don't see it as a – now that we have it secure we don't see it as a negative, we don't see any negative impact on that.
Ashwin Shirvaikar: Okay, got it. All the best guys.
Eli Gelman: Thank you.
Tamar Rapaport-Dagim: Thanks.
Operator: Our next question comes from Tom Roderick with Stifel, Nicolaus.
Chris Koh: Hey guys this is Chris for Tom. So, just a quick follow-up. I hate to keep beating the Sprint horse, but Tamar can you share with us the FY '12 Sprint contribution in terms of percentage of revenue?
Tamar Rapaport-Dagim: We will share that within the 20-F, I can say that, you know roughly speaking it remains the relative size that you have made in the past. So we didn't see much changes in terms of its sizing in the overall company performance and we continue to have very good relationship that's included also modernization activity for example around customer care. We are seeing very good results as part of the implementation we have done that in terms of the improvement around care that Sprint enjoys and many other new things that played into the relationship on top of the regular managed services arrangement.
Chris Koh: Excellent, great, thank you. And then…
Eli Gelman: Chris, just one comment, we don't care that you beat this horse it's a very good and wining horse for us.
Chris Koh: Yeah, so I think that was unintentional idiom to use there, but yeah I am glad to hear that's it's a strong horse for you. Now, so just moving over to the margin side real quick on the follow-up, so if you bake into your guidance for FY '13 it seems like margins will be relatively stable maybe towards the middle of that 16 to 17 range. Is there any reason to expect there maybe you could get closer to the higher end of that range by the end of the year or do you feel like we should temper our expectations?
Tamar Rapaport-Dagim: I think that given what we're seeing currently in terms of the mix, that's why we want to be cautious on the margin expansion. Do we still want to have margin expansion overtime? Yes, of course. I don't think it will be necessarily a big expansion within fiscal '13 given the fact we are continuing to project expansion into new countries, new accounts and new activities and that has its impact on the margin mix overall.
Chris Koh: Okay, thanks guys.
Eli Gelman: Thank you.
Operator: Our next question comes from Shyam Patil with Raymond James.
Shyam Patil: Hi good afternoon. First, question on the guidance range for revenue for the first quarter. It seems like it's a little bit wider than normal. Just wondering if you could talk about that a little bit and for the annual guidance the 2% to 5% revenue growth, is it better improvement, is it better environment in North American that gets you to the high end or can you talk a little bit about what will get you to the high end versus the midpoint for the year?
Eli Gelman: Shyam, just on the quarterly range, yes its slightly bigger or wider range and the reason truly is because there are so many unknowns and moving parts and the size of the deals that we are talking about are such that they can fluctuate you know a few percentage in certain accounts or some delay on implementation or acceleration of something may move the needle in such a way that we want to make sure that we project all of this limitations and that's why we expand the range a little bit and it's expected to be roughly the same, this new range until we have more and more stability into the world economy and the telecom market in general. It's not a huge expansion but… [Audio Dip] …and will excite us. So we don't expect to do all of a sudden very sharp turns into completely different things that you don't really understand and just because we want to expand. But along the activities and applications set and expertise the company has, and we are looking constantly on ways to expand. And when we find the right opportunities we'll try to act upon it as prudently and smartly as we can.
Shyam Patil: Great. Thank you.
Eli Gelman: Thank you.
Operator: And our next question comes from David Kaplan with Barclay.
David Kaplan: Hi, hope you can all hear me well, phone calls - my iPhone [died]. If you can talk a little bit about the product mix, we've heard from a few quarters now, not just from you guys but across the sector about the weakness in Europe, seems to be holding up the last couple quarters anyway to just like a little bit of weakness, probably could have been worse. I think if I'm not mistaken last quarter, maybe two quarters ago that you guys had announced the Managed Service contract, which was one of the first, something you had hope would continue. Do you think that content shall continue to weakness was something that wouldn't move European operators more towards managed service contracts?
Eli Gelman: David, it's a very good question. We don't know but our logic is that it says that yes. What used to be there the number one factor for them not going into this direction, not follow the American colleagues and Southeast Asian colleagues, is the labor market, and it was a separate thing. But as we announced the first managed services in Europe and we believed that we will, there was a chance of – have more is more is mainly because we provide a really compelling accountability model with this managed services. Because we take their [pain] and we just operate it and run it better. Now, we do it so changes our [soft run] and changes our business process, not by just pushing it into logic, fixed cost areas and so on so forth, so we do a very smart managed services. Now it's a compelling proposition, the accountability is quite clear, so what you see today is more receptiveness, to talk about it. Now whether we can translate it into sign deals in the near future, I don't know. I hope and we have quite a few of those in our pipeline our logic says that yes, that under the pressure that they are in it might be an opportunity before us to do something that was not available two or three years ago.
Tamar Rapaport Dagim: I would just add to that beyond the deal that we talked about two quarters ago, we have continued to see positive signs around managed services, already an activity of signing, extension so again it's incremental, I won't say it's a big change right now, but we are seeing positive signs.
David Kaplan: Tamar that's specifically in Europe or all over?
Eli Gelman: Yeah, we're talking about specifically in Europe.
Eli Gelman: Yeah, yeah, Europe. We see it in other places but you asked about Europe so it the comment was—
David Kaplan: I just wanted make sure we're still talking about the same thing. And then the second question I have is more about emerging markets, I mentioned that most of those countries in the site - what you guys did sign one there and I think it was Brazil as well, but are you seeing the managed services pick up or it's still little bit too early on the curve for emerging markets?
Eli Gelman: Well, again it's a very good question, we think - first of all industry is really represent a trend yet – but we have already, managed services, this is Southeast Asia, and we have a new one that we announced the globe but we have another one there. We announced the managed services in Latin America with team Brazil. So we see some signs that this model is actually attractive in both ends of the emerging markets, whether it's a trend and we can turn it into, a managed services machine or even proposed more managed transformation which is to say that we will do the project from the beginning of the managed services, rather than to have a deliberate project and then managed services finish that afterwards, that is too early to say, but at least we know that we can do it. We can do it in terms of the accepting for customers, of these asset we have in terms of KPI, the operation that we set, it's something that we feel very comfortable today to go and operate and because we know that we can execute it, which was not the case only couple of years ago.
David Kaplan: Great, thanks very much.
Eli Gelman: Sure, David, thanks.
Operator: And our next question comes from Jason Kupferberg from Jefferies.
Jason Kupferberg: Hey, thanks guys. I got cut off from the call for a little bit, so I apologize if I ask something that was asked earlier. But in emerging markets I think the revenue growth sequentially was down a little bit, quarter over quarter here in September, what were the drivers for that. It sounds like, you obviously expect on a year-over-year basis, fiscal '13 to be back into double digits. But anything you can highlight as far as the hiccup here in Q4 of '12.
Tamar Rapaport Dagim: Jason as we have said in the past, emerging markets for us is predominantly project activity at this phase, which means we will see some trend – sequential trend from quarter to quarter it may change. We don't actually read too much into it, since the overall vector is clearly very strong, have been for the past three years, we do expect it to continuing the double digit growth into fiscal '13, so I don't think we should start to (inaudible) then it roll into the sequential trend there.
Eli Gelman: Normal milestones fluctuation of delivery project, that's short version of it.
Jason Kupferberg: Okay, that's good to know. And then just to circle back on the revenue range for fiscal '13, I know it was already highlighted that it is little bit wider than usual, does it reflect any change in the underlying visibility that you guys have, I mean I realize that this time last year, when you got it on fiscal '12, there was macro uncertainty also you had a tighter range there were some unforeseen circumstances and seems to be a wise move to widen the range. But I just wanted to get your sense on whether or not underlying visibility is any different sitting here today on fiscal '13 than it was a year ago, looking ahead on fiscal '12?
Tamar Rapaport Dagim: But Jason, actually if you look on the technical visibility of our backlog next 12 months backlog relative to the midpoint of the guidance, you see an improved visibility, however uncertainties out there and we should acknowledge that and maybe we got wiser and decided to acknowledge the fact that we should be more cautious and take a wider range looking forward. I don't think that should be anything beyond that, okay.
Jason Kupferberg: Okay, thanks for the comments.
Eli Gelman: Thank you, Jason.
Operator: (Operator Instructions) Our next question comes from Tal Liani with Bank of America-Merrill Lynch.
Tal Liani: Hello, I have a few tidbits, first juts to clarify the AT&T, did you give the percentage of AT&T for the full year or do we have to wait for the F20?
Tamar Rapaport Dagim: We haven't given that, we will provide it as part of the analyst day, I believe.
Tal Liani: Okay, Sprint, you signed a new contract, but I didn't understand it from your answer whether next year, Sprint is going to go up, year-over-year or that the extension is going to e more in the outer years.
Tamar Rapaport Dagim: The extension and extension of the contract is not just for next year, it's for the next seven years actually, and we do not guide specifically on an account basis, but we talked about the fact that overall we see this contract as a win-win relationship. Moving forward the whole discussion was a combination of expansion of scope, pricing KPIs, all of the above. We shouldn't expect to see any major cliff, either up or down in the relationship and the volumes, translating that to revenue.
Tal Liani: Got it. You report year-over-year – sorry, you repot rest of the world and you report emerging markets, so if I back out the leftover between emerging markets and the rest-of-the-world there is about $40 million this quarter and it was down about 15% year-over-year, I'm wondering what's included in rest-of-the-world which is not emerging markets and if you can give some color, it's not a big number but if you can give some color on why it's coming down, 15%?
Tamar Rapaport Dagim: But maybe just to clarify before, and the reason we are giving emerging markets separately from the regional breakout because emerging markets includes also emerging Europe, it's not just the carve out through rest of the world, so the math you are trying to play – is not necessarily that accurate. I'll obviously address your question what's out there in the rest-of-the-world that is not emerging markets, it's countries such as Australia, South Africa, countries of this kind in which we have business and a very healthy business. So there maybe some trends that are happening there on year-over-year basis but it's not the numbers that you indicated.
Tal Liani: Got it. Okay. Last question, financial income or other income it was a negative number for the previous five quarters and it was a positive number this quarter, would you mind just to clarify this?
Tamar Rapaport Dagim: The main volatility we're seeing in this line item is coming from the impact of the hedging program that we have. Our philosophy around the hedging is to support the operating margin line. And the cost of hedges as well as some of the impact what is considered an accounting (inaudible) hedge, are flowing through this line. So given high-volatility in currencies you may see from quarter to quarter, couple of millions of dollars running through this line item that's always why we guide, we say that you should count I also few negative million of dollars guiding for this line item. This quarter specifically the combination of the volatility of the currencies with the underlying assets was very effective in terms of the impact of the hedging and we've seen much less of in impact there.
Tal Liani: Okay, excellent. But just philosophically, I think you mentioned at the beginning, and sorry the line was on and off, I think that was a problem for every one to dial in, but I think you said at the beginning that there was a 1% impact of currency, if I net out the positive impact of hedging with the impact of currency, is this neutral to net income or still, you got hit by this currency?
Tamar Rapaport Dagim: Tal I'm not sure what 1% you indicated, what we have said is that on a sequential basis, the impact of currency on the top line was negative $1 million, that is what we referred to.
Operator: And at this time there are no further questions. We'll now turn the call back to Elizabeth Grausam.
Eli Gelman: Since they have a chance to depart.
Elizabeth Grausam: Thank you very much, everyone for joining the call and your continuing coverage of Amdocs. We look forward to catching up with many of you in the coming weeks. Have a good evening. Take care.